Operator: Good afternoon. Welcome to Identiv's Presentation of its First Quarter 2021 Earnings Call. My name is John, and I will be your operator this afternoon. Joining us for today's presentation are the company's CEO, Steve Humphreys; and CFO, Sandra Wallach. Following Management's remarks, we will open the call for questions. Before we begin, please note that during this call, management may be making references to non-GAAP measures or projections, including adjusted EBITDA and free cash flow. In addition, during this call, management will be making forward-looking statements. Any statements that refer to expectations, projections or other characteristics of future events, including financial projections or future market conditions is a forward-looking statement. Actual results may differ materially from those expressed in these forward-looking statements. For more information, please refer to the risk factors discussed in documents filed from time to time with the SEC, including the company's latest annual report on Form 10-K. Identiv assumes no obligation to update these forward-looking statements, which speak as of today. I will now turn the call over to CEO, Steve Humphreys for his comments. Sir, please proceed.
Steve Humphreys: Thanks, operator, and thank you all for joining us. In the first quarter of 2021, our momentum continued to grow, especially in our RFID business. Overall, our revenues grew 22% year-over-year, our Identity business grew 38% in total, led by over 59% growth in our RFID business. Our other key growth and profitability metrics also made strong progress. We shipped 40 million RFID units in Q1 versus 26 million units in Q1, 2020, an increase in units of 53%. Total backlog at the end of Q1, 2021 grew 50% versus the end of Q1, 2020. And our orders booked quarter to date the first month of Q2 are up 45% from the year prior. We also showed more leverage in our business model. Expenses in the first quarter were down 6% from Q1, 2020, while revenues were up 22%, clearly showing leverage from our operating expenses as we scale. Our core growth strategies of getting new customers with new design wins, moving customers through the production cycle, expanding new and more complicated designs, and bringing second and third generation designs to production, all made progress in the first quarter. So, here's some of the specifics in each of these growth drivers in the first quarter. Starting with customer launches and expansions, several of our existing customers expanded the number of designs we've done for them, and now we've committed to volume orders for the second-half of this year on the new designs. For example, we doubled the number of designs for one major mobile device provider from four designs to eight. We started production on the first four designs last year. Two more are now under contract with committed volumes to ramp the second-half of this year, two more are nearly complete, and another design is already under discussion actually. We've also been introduced to two other product groups within the customer, with completely different use cases. So, with these expansion trends, we expect revenues from this customer to keep growing in upcoming years. Another customer use case that's completed design is in drugs self-test kits. With self-testing, a test has to work only with the right chemicals, and the data has to be secured and encrypted, so there's no false results, and the data can't be changed, but it's kept private, which our devices do for a product is planned to launch soon. The third one is prescriptions for the visually impaired, where another pharmacy chain is now in mass market pilot for RFID-enabled prescriptions. And a related update in this category, one of our early customers CVS tells us anecdotally that pharmacists are finding the RFID programming processes really easy for them, and also that the acceptance among visually impaired customers is going well. Now we can't disclose numbers of course, but the customer and market feedbacks positive for what can become a half billion unit use case, across all prescriptions for visually impaired people. Our fourth customer use case is in consumables for high-end appliances. This is a design we've had running, but volumes are growing, because as we've all stayed at home, a lot of people have bought new high-end appliances. Now, these are all very different use cases, but that's the point. We have opportunities across lots of markets, each of which can drive our growth as they scale. We're seeing continued growth in new customer launches and expansion in volumes and designs. So, now let's look at design wins in the first quarter. Here, again the pipeline is strong, so I'll just describe a couple with good volume potential, higher price points for more complicated technology. The first is in wristbands for theme parks and other event venues. These are actually starting to reopen, but with lower density. The need to make the most possible revenues from each visitor is more critical than ever. So, a multifunction, wearable RFID device is a low friction way to make this happen. As a result, we're working through a range of design options with different features. Another design win in Q1 was for consumables, for robotic floor cleaners. A third, and one of the most exciting design wins is in high-end syringes. Now these are super precise auto injectors for cancer, autoimmune and other treatments that have to be dispensed in exact amounts, at the right temperature, at the right dispense rate and exactly the right needle insertion. In this design, we're incorporating multi-sensor features, including temperature and fluid dispensing measurements, as well as authenticity and data protection. Now all this means in our RFID device that will be in the $1 to $1.50 range. It'll take a while to get to production since we're talking about FDA approved devices, but the customer projects volumes of 100 million units. So whenever it hits, the business opportunity is major. Switching costs will be very high, so we expect we will be able to grow with the customer for the foreseeable future. Also, others in the industry will have to respond with similar features, which means more opportunities for us. So, with designs like this, we see continuing expansion in AUPs, gross margin expansion, and a strong competitive position for us, as devices get more complicated, like this example. We also continued our new technology launches, developing a radiation proof RFID device for medical applications in X-ray environments, including CT scanners, PET scanners, X-ray, and devices that need to operate around these systems for a couple of specific customer use cases. Now beyond our high growth RFID segment, our premises segment started a growth cycle towards the end of the first quarter. I'll go into more details in our forward-looking comments. But remember, the first quarter of 2020 was pre-COVID for almost the entire quarter. In Q1, 2021, premises grew about 3% year-over-year, which means premises is now back above pre-COVID levels. We saw momentum build as we exited the first quarter, leading us now to expect premises growth in the second quarter of around 30% year-over-year. This is coming from the strength in the Federal government. Commercial businesses starting to make up for deployments that were delayed last year, and our new product launches. This will put us ahead of the growth we've been projecting in premises for 2021. Our third strategic focus is on revenue repeatability and predictability. In RFID, predictability is driven by customer retention, and a focus on consumable products. In Q1, we kept our track record of 100% customer retention in RFID. We also kept expanding the use of consumables as you can hear in the appliances, syringes, prescriptions and other use cases. In premises, predictability is driven by software services and recurring revenues. And in Q1, we grew this category of software service and recurring revenues to 24% of our premises revenues. So in Q1, our growth showed strength even in our seasonally lowest growth quarter. Just as important, we got a wide range of customer launches and expansions, design wins and technology launches, supporting us strong 2021 and beyond. The areas of RFID leadership and growth, the Federal market and recurring revenues, and customer retention remain our focus. And these are all made great progress in Q1. So, before getting into the next quarter and rest of this year, I'll turn the call over to Sandra to hit the financial highlights for the first quarter. Sandra?
Sandra Wallach: Thanks. As Steve mentioned, our financial results reflect our business strength exiting the first quarter, and have us on track for double digit growth in the remainder of 2021, and beyond. We closed out the first quarter of 2021 with $22.2 million in revenue, up 22% compared to the first quarter of 2020, and down 11% compared to the fourth quarter of 2020. Our first quarter growth year-over-year was driven by a 59% increase in our RFID devices, with over 40 million units shipped to customers, and the 3% growth in our premises business, powered by 30% growth in our Federal business, partially offset by the continuing impact of COVID on certain select verticals during 2021, Q1, versus largely pre-COVID Q1, 2020. Our recurring revenue remained stable at 6% for both our first quarter and trailing 12-months. For the first quarter of 2021, our GAAP and non-GAAP adjusted gross profit margins were 35% and 36%, respectively, compared to 35% and 36% in the fourth quarter of 2020, and 41% and 43% in the first quarter of 2020. For the trailing 12-month period, our GAAP and non-GAAP adjusted gross profit margins were 37% and 39%, respectively. Gross margin changes resulted primarily from mix across and within our segments, as we continue to expect margins to revert to historical levels within 2021. Our non-GAAP adjusted EBITDA margin was positive 2% in the first quarter, reflecting results of $0.4 million, compared with negative 2% in Q1 of 2020, and positive 6% in Q4, 2020. For the trailing 12-months period, our non-GAAP adjusted EBITDA margin was positive 6%. Our Q1 GAAP net loss was $1.5 million, or a loss of $0.09 per share, compared with a loss of $2 million, or a loss of $0.13 per share in Q1, 2020, and a loss of $0.7 million or a loss of $0.05 per share in Q4, 2020. So in summary, we met and exceeded expectations on the top-line, saw the continued impact of segment mix with the overweighting of growth of our RFID devices, managed cost and delivered $0.02 better on the ETF line versus external expectations. We've provided in the Appendix today a full reconciliation of GAAP to non-GAAP information, which is also included in our earnings release. Our next slide further analyzes trends by segment, beginning with Identity, revenue from our Identity products totaled $13.7 million or 62% of our total revenue in Q1, 2021, which is an increase of 38% from Q1, 2020, and a 14% decrease from Q4, 2020. The sequential decrease was primarily driven by normal seasonality of lower sales of RFID transponder products and access card sales, partially offset by higher sales of smart card readers compared to Q4, 2020. The year-over-year increase was primarily driven by higher sales of RFID transponder products, as well as higher sales of smart card readers and access cards. Our Q1, 2021 Identity segment GAAP margins increased to 25%, compared to 22% in Q4, 2020, as we continue to grow into our investment and capacity and lower than Q1, 2020 at 30%, due to the very rapid growth from customers at the early stages of their RFID deployment strategies, which are driving a higher proportion of RFID revenues. Turning to the premises segment, this segment accounted for $8.5 million or 38% of our total revenue, representing an increase of 3% from Q1, 2020, and the decrease of 6% compared with Q4, 2020. The year-over-year increase in revenues from the premises segment reflects the continued strength of our Federal business and select recovery in other verticals. The sequential change in revenue was due to normal seasonality. GAAP margins for premises in the first quarter were 51% compared to 56% in the fourth quarter of 2020, and 55% in Q1 of 2020, due to the mix of products within the segments. Now moving to our operating expense management. Our GAAP operating expenses for the first quarter were $8.9 million, compared with Q4 of 2020, and down $0.4 million compared to the first quarter of 2020. Our non-GAAP operating expenses adjusted to exclude restructuring and severance costs, and certain non-cash charges normally excluded from our non-GAAP results, such as stock-based compensation and depreciation and the amortization, totaled $7.6 million in the first quarter of 2021. This compares to $7.5 million in Q4 of 2020, and $8.1 million in Q1 of 2020. Bringing all the pieces back together, our non-GAAP adjusted EBITDA was $0.4 million in the first quarter of 2021, a $0.7 million increase compared to Q1, 2020. Turning to the balance sheet, we exited Q1, 2021 with $11.5 million in cash, a net increase of $0.1 million from Q4 of 2020, and a $2.8 million increase from Q1 of 2020. The key drivers of our cash activity for the quarter were $1.1 million in capital expenditures was invested in our Singapore factory as the next tranche of capacity was delivered in Q1 to support the planned expansion to approximately 220 million units. Under financing activities, we had $2 million net cash provided, driven by a $2.2 million increase in net borrowings under our EastWest Bank revolver, offset by $0.3 million used for tax payments related to RSU releases. In addition, given the success of our recent follow-on offering, we were able to issue an additional 3.8 million shares of common stock for gross proceeds of $40.3 million. We have paid off the last growth promissory note and reduced our interest expense on the current line of credit. This additional working capital will provide agility to flex for growth, as we track the trajectory of our business going into the second-half of 2021. In our 10-Q filings, we will be providing a full reconciliation of year-to-date cash flows. For completeness, we've included the full balance sheet for the earnings release in the Appendix. Due to the operational momentum exiting the first quarter of 2021, today, we're confident with our previous guidance for the lower end of full year 2021 at $100 million. We will share metrics as we continue on this journey of growth. Exiting Q1, 2021, at March 31, our Q2 backlog was $10 million. As customers finalize their schedules as of April 30, we have seen our Q2 backlog for shipments increase over 30% from the same period in the prior year. Our total new orders booked second quarter to date is $9.8 million, at 45% over the same period of prior year. Normal seasonality is expected to continue with momentum building quarter-over-quarter. And we continue to have strong confidence in our guidance for 20% to 25% revenue growth in the first-half of 2021 over the first-half of 2020. As we continue to monitor the second-half of the year, we'll be able to more accurately assess that number and we'll provide updated guidance as appropriate. This concludes the financial discussion, and I'll pass it back to Steve.
Steve Humphreys: Thanks, Sandra. As our financial show, we're on track for 2021. Just as we hit our goals in Q1, we think we're in a strong position for the second quarter and the rest of the year, with upsides both near-term and for the second-half. In RFID, our growth drivers of customer launches, design wins and new technologies were strong in the first quarter. And indications are they'll keep getting stronger. In addition to our core competitive advantages, we've got several initiatives to drive growth. I'll focus on two of these that we're launching this quarter, and talk about others on our future calls. The one that we're launching this quarter is our RFID developers’ kit, which will include RFID devices with several different chips and features, demo code, sample NFC-enabled mobile apps, and direct support from our customer engineering team. We want to be the go-to-solution provider for every engineer that thinking about integrating high-end RFID into their products. We're building a community of developers with direct support from our own RFID experts. Since we're one of the few in the industry that does small prototype and production runs, we're going to leverage that to let engineers actually get samples of their designs. And we can't know who's going to have the next 100-million-unit application. We want to be in front of them all. So whoever has the big hit, we're the RFID partner to help them get there, with the deepest expertise and widest design range. Because we go from prototype to pilot to production, we think we'll be able to keep them through the product cycle, and then keep them as they improve their designs and launch new and bigger products. Our developers’ kit and the community round that is one of the key strategies we're using to expand our funnel and grab wide market leadership right now, while the field is open. Another investment we're making to accelerate our growth is in our production technology. RFID devices are complicated, because they're mixed analog and digital systems. As we add sensors for temperature, humidity, acceleration, obviously those are analog devices. They have to be integrated into a product and then convert their analog sensor values into a digital system. We want to enable more analog sensors to be integrated with our RFID devices. This drives up average prices and margins, strengthens customer retention and increases the rate of adoption of multi-sensor RFID subsystems. We've always planned to incorporate production equipment and automation software and designs to support multi-component and multi-device systems. I talked on our prior earnings call about the sensor capabilities we launched last year, and some of the use cases for pressure sensors and bike wheels, others using our capacitive feel sensors and others using temperature sensors. With a small part of the capital we've raised last month, we've accelerated this program. We're starting the process to specify, develop and customize automated systems to deliver them. Now it will take some months to get up and running, but we can start marketing, selling and designing systems now. As long as our customers know private prototypes are only a few months out, and especially if they can see the production capabilities already in place, they're likely to start designing. Now we've been doing systems like this, but they take multi-passes, they're harder to scale, and especially hard to do small prototype or pilot runs. If it's ready to go, customers are much more likely to try complicated design sooner. Bike and scooter tire sensors, syringes and running shoes with accelerometers are all use cases that need multi-center devices, and have the potential to scale to hundreds of millions of units. Getting a head start on high volume capabilities for devices like these, creates another competitive mode for us early in the market's development. Now to be clear, even starting customer project soon to use multi-component RFID designs, it'll take a few months to have the system up and running, get through the design cycle, and then there's the usual six to eight months cycle from the design to production. But, being able to start now, means we have a longer lead on competition and we get deeper design lock-ins with customers. So RFID developer's kits and multi-device automation are two strategic drivers, we think will give us upside over our baseline 2021, and especially our 2022 outlook. Now I focused on RFID, because that's our core growth driver. Our premises part of our business is also lined up for strong growth in the near-term. In particular, Federal, State and local government sales look strong, as do our recurring revenue products. With a focus on physical security in both the Federal government and at the State and local level, we're seeing great demand strength. Even states that we thought we're going to be financially weak from the pandemic are doing well. Combining the need for improved physical security, expanding federal spending, fiscal health at the state level and infrastructure investments, and we see lots of drivers of growth and market share. As I mentioned in my opening comments, for the second quarter we're trending towards 30% year-over-year growth in premises. This supports overall growth that can be even more than the 20% to 25% that we projected for the first-half. And it carries higher gross margins, driving expanded EBITDA margins. So the foundations of our strategy were strengthened in the first quarter, and the trends for the year are looking better than we expected. Some of the major use cases we've mentioned before are continuing to progress. These include a major national cannabis program, where we've now delivered sample volumes, and the syringe and prescription bottle use cases I mentioned before. The cannabis program is projected to be over a billion units, syringes for just one vendor are over 100 million units at a high price point, and prescription bottles represent a half a billion-unit opportunity, just for the visually impaired. We think we'll keep leading, because in this market of thousands of designs and hundreds of billions of units potentially, they're huge first mover advantages. We're adding to these advantages with a developer's kit and the multi-sensor automation platform I mentioned earlier, building higher barriers to any competitors. Now, in addition to our core technology strengths, as you know, we had a successful capital raise last month. It was important for three reasons. The first was to give us the financial strength to invest in things like the multi-technology automation, I mentioned earlier. We were able to operate with our prior balance sheet, but we were in a reactive mode, getting customer contracts to fund investments. We're now taking more aggressive steps to build an even bigger competitive lead. This comes from putting in place capabilities in advance of immediate needs, which accelerates customers’ adoption, because they see immediately that we're ready to go. We're also being more aggressive with inventory investment, again to encourage customers to launch and scale faster than they would, and of course, to insulate ourselves from the part shortages that are hitting so many companies. Lastly, there's one use case in particular that could drive demand for up to a billion units, and will need in-country production in Canada or the U.S. With this capital, we're able to plan for an expansion as soon as is needed. Because of all these factors, we think the capital raised will help us grow faster this year, and especially in 2022 and 2023. The second reason for the raise was to increase the visibility of our business opportunity and this also seems to have worked. By presenting our business opportunity to the investment community, we found demand for almost 10 times the equity we're raising. So we upsized the amount from a $25 million raise to $35 million. And we're incredibly grateful for the show support that we got from the investment community. It also raises our visibility in the industry, makes it easier to hire great talent, builds confidence with customers and puts competitors on notice that we're going to be even more aggressive. Now's the time to submit leadership in our market. The capital we've raised really puts us in a position to jump even further ahead. So, thank you to all who participated. We're working hard to generate major returns on those investments. So to wrap-up, here's some growth indicators from just the last few weeks. As Sandra mentioned, we're now over $9 million in new bookings quarter-to-date for the second quarter up 45%, versus the same time last year. We have designs underway of one, with over a dozen more RFID customers, several with multi-million unit, up to 100-million-unit potential. We're launching cross industry marketing programs to replicate solutions in medical devices, prescriptions, bicycles, and personal transportation, controlled substances like alcohol and cannabis and others. Federal spending is clearly growing fast and our revenue predictability is strengthening from the expansion of consumable use cases, returning customers and recurring revenues. We see the second quarter and the rest of 2021, continuing these trends, putting us in a position to project higher growth rates, as we get visibility into the balance of 2021 and into 2022. So with that, I'll open to questions and discussions. But let me first mention also that we have on the line with me, Dr. Manfred Mueller, who runs our RFID business. So, if there are RFID-related questions, we can cover them in whatever depth we need, and directly from the guy who's driving the business. So operator, please open the lines for the discussion.
Operator: Thank you. We will now take questions. [Operator Instructions] And your first question is coming from Jaeson Schmidt from Lake Street. Jaeson, your line is live. Please proceed.
Jaeson Schmidt: Hey, guys. Thanks for taking my questions. I just want to start with guidance and just want to make sure I fully understand it. I mean, the previous range was for $100 million to $102 million, and you feel competent about that $100 million figure. We shouldn't take that to mean there has been any sort of down shift in expectations. Is that correct?
Steve Humphreys: No, the opposite. In fact, what we said in our prior guidance was we were moving up the bottom of the range that had been $96 million to $102 million. And we said the bottom, we are confident is not going to be below $100 million. And we'll update the top of the range as we get more visibility into it. So we're confident in that $100 million bottom. And from right here, do we believe there's room beyond that $102 million, of course. But is it important that we get very clear visibility when you're -- micro cap and small deals can move you one direction or another? We want to be careful about when we raise that specific upper end. Does that clarify what you're asking?
Jaeson Schmidt: Yeah, that's very helpful. Thank you. And then just moving to that potential 1-billion-unit opportunity, any additional color you can provide there from a timeline perspective, a potential end market.
Steve Humphreys: So, I think, the cannabis one you're referring to which is in the public domain, there's a big opportunity out there. And we mentioned that we've provided sample rolls to them sample products. It's very far along, but it's a government program. You would think they'd want to drive it as fast as possible, because it's going to increase their tax collection capability and certainty. But government programs go with the pace they go. So, it should be hitting in the relatively near-term. But again, with us, if we say it's going to fall in the third quarter or fourth quarter per se, and then it pushes out, that can change expectations. So it's on track, and we're comfortable with the position. We're in there. And it's moving along and they're taking samples and assessing it, but exactly when it becomes mandated is not certain, give or take three to six months.
Jaeson Schmidt: Okay. And then just the last one for me, and I'll jump back into queue. In the RFID business, I know it's going vary depending on product or customer, but just given the well-known supply constraints out there. Are you seeing increasing inbound interest in picking up wins simply because of your ability to supply? Is that becoming a bigger priority for customers over sort of performance and other applications?
Steve Humphreys: Yes, it absolutely is. And, we're taking advantage of that in a couple of parts of our business. As I mentioned, we're doing inventory investments, so we can be the ones to supply. There are some companies that are either in difficult financial situations or a private equity-owned, quite frankly, and very tight on working capital competitors, I mean. And they aren't taking those positions on inventory. So, we're being pretty proactive and aggressive on it. And customers appreciate that, because most of our products are mandatory for them to continue their production. And so our supply is critical to their own production, and the fact that we're able to keep them going, when a lot of what they hear around them, and even see from some other suppliers is uncertain, or even inability to fulfill. So, it's a good opportunity to build trust as well as to drive the revenues.
Jaeson Schmidt: Okay. Appreciate the color. Thanks, guys.
Steve Humphreys: Thanks, Jaeson.
Operator: And your next question is coming from Mike Latimore from Northland Capital Markets. Mike, please proceed.
Mike Latimore: Great. Thanks. Yeah, congratulations. It looks great quarter, great outlook.
Steve Humphreys: Thanks, Mike.
Mike Latimore: I think it's just two clarifications. One is, so you're basically reiterating $100 million to $102 million, then you're saying that you're competent in the $100 million. Are you sort of extra confident in the $100 million bottoms? Is that the way to think about it?
Steve Humphreys: Yeah, that's for sure. And again, even the $102 million, what we said is that we're not bounding the top of the guidance, we're just not setting another new number on the top of it yet, until we have some clarity on that. So it's $100 million and up is the way to think about it. And we'll refine that number as we get in there, because saying we're having a range of plus or minus $2 million at this point, obviously, with the growth rates we've got going on isn't a likely characterization of the future.
Mike Latimore: Okay. Got it. And then, I guess back on this cannabis, 1-billion-unit opportunity. It almost sounds like you sort of won the technology bake out there. Is that a fair characterization? Or is that still going on?
Steve Humphreys: In terms of compliance and ability -- so the short answer is, yes. But to be clear, being a government program, it won't be sole source. Are we pretty -- well, I wanted to not overstate anything, because nothing's been awarded? But, we're certainly at the forefront of those who, more than comply, you completely satisfy everything they're looking for.
Mike Latimore: Got it. Okay. And, you're winning a lot of very large deals, and you have large ones in the pipeline. I guess, what is your win rate on some of these deals? I'm guessing it's fairly high. But do you track win rates?
Steve Humphreys: We do. There's a range. Whenever you have a complicated device, like the auto injector syringe or some of the mobile devices, the win rate is very high. I won't put a number on it. But it's rare that we don't win. When you get more, I won't say commoditized, but more low end, and then certainly when you get commoditized, then it can be a lower win rate. But frankly, more and more, we're actually just trying to not be bidding in those categories where there's not differentiation. So win rate is pretty high. We noted in our release, one of the bullets was that we're expanding our technical team, and that's mostly on the field application engineers, program managers to manage some of these programs, because we're filling up with designs and quotes. And we want to be sure we're not bottlenecking that and it's actually gave metric there. We're going to increase our team by 50% by June 1, is the mandate that Dr. Mueller has on the phone here. And that'll give you a sense of some of the pipeline scale we're dealing with. Manfred, do you want to add anything to that about the nature of win rates and the team we're adding?
Manfred Mueller: Yeah. As you already rightfully said, and hi, Mike, by the way, it's been a little while that you and I talked. It is indeed a fairly decent number in terms of deals that we are winning. The design in time is fairly long in particularly with regard to many of those medical formal ones. And those when they finally break through, we're getting there. And the beauty also is that for most of these, we tried to focus on the ones where we have a high hurdle of entry, where we are bringing in a lot of our own IP, which kind of excludes too many parties from the total project, and that's why the attach rate is high. And we simply need to make sure that when it comes to the volume that we remain and maintain that relationship, and then also supply mass volume, when the project for the proceed.
Mike Latimore: That makes sense. Okay, great. And then I guess on the gross margin for Identity, I think you said you said, you expected to kind of get back to normal level. I guess, can you say is that like, third, fourth quarter? And then is that about what 30%? How should we think about that?
Steve Humphreys: Sandra, you want to?
Sandra Wallach: Happy to do it. So, what we said is, we'll see our consolidated gross margins returned to their historical levels. So, we expect them to return to the low 40% range in the second-half of this year.
Mike Latimore: Got it. And I would imagine a lot of that comes from ID, your Identity or identity improving as well.
Sandra Wallach: It's going to be a combination of -- we saw some improvement in Q1 as we grew into our capacity investments. And we'll also see the benefit of the Federal government year-end and third quarter spending in premises, which drives our gross margins up in that quarter. So, it'll be a combination of the both.
Mike Latimore: Great. Thank you.
Steve Humphreys: Thanks, Mike.
Operator: Your next question is coming from Craig Ellis from B. Riley Securities. Craig, please proceed.
Craig Ellis: Thanks for taking the question. And team, thanks for all the information so far. I just wanted to follow-up on some of the earlier comments. So Steve, it's clear that the team is executing really well, going out and engaging with customers to get those next arch programs. We talked a lot about cannabis in the Q&A, I wanted to go back to some of your early comments on smartphone programs, and see if you could just round that out with a little bit more color. And help us understand what the unit and the volume opportunity in that area might look like, as we go through '21 and into '22.
Steve Humphreys: You bet. I'll frame it a little bit, and then I'll turn it over Manfred to comment a little bit more. But yeah, as we said, last year we had done four different designs with one major mobile device company in particular. Now we've got the two more new designs that are going into production, and our understatements work for the balance this year and then into next year. And the designs from last year keep running, of course. And then a couple more designs that are in process with them right now. So, we expect we'll have up to eight designs going with that customer. And we're talking with some other business groups within the customer that are in entirely different use cases, different applications. And those are in early stages, not into the design stage yet. Volume-wise, in total, you're talking about something in the 15 million to 20 million unit range for that particular range of designs. And I don't want to go any more granular than that, because that gets to be a little proprietary for the customer. Manfred, do you want to add color or commentary around the designs and volumes for that?
Manfred Mueller: Yeah, I think another important piece of information probably is that we are managing multiple contract manufacturers, where we are also adding a few more. So these designs, the ones from both last year and also the new ones from this year is going to be spread over multiple contract manufacturers, which also require all the necessary onboarding. And then, in terms of volume spread, it's a pretty neat way how the various projects phase in and phase out. So it gives us some steady flow. And particularly in 2021, we've had a little bit more contribution to the overall volume than what we've seen last year. So from that point of view, we really expect that to become some sort of our baseline business going forward.
Craig Ellis: That's helpful. And so I wanted to ask two follow-ups. And Manfred, we've never spoken before, so it's nice to meet you, albeit it over the phone. I look forward to meeting you personally, as things open back up. The first question to you, and then I'll bounce it back to Steve. So, the question for you goes back to the comments that Steve made about the development kit and multi-device capability. So, the question there since that is a real important design engineer tool for folks out in the field that could utilize your differentiated technology. How do you plan to get that out, through a distribution network? Will it be available as it is with most companies via the website? Or what are the other mechanisms through direct sales? I'm sure that you have to get that out and propagate that kit and accelerate uptake of your solution.
Manfred Mueller: Absolutely, and this is one of the main topics that we have been discussing in order to help basically to bring into the industry. So, we want this to become a feeder type of technology. And it's not necessarily supposed to be generating sales in the first hand, it's supposed to be generating interest, it's supposed to be broadening and expanding the amount of mobile app developers to include and implement RFID technology, whether it's generic RFID, or whether it's in particularly NFC into their various applications, and give them all the necessary building blocks in order to do so. So, to basically lower the barrier for them as much as possible, because we have done this for so many times. And in addition to that, we will be enabling them and we will be making those available today already, both on our own website through our existing distribution network. We are also making them available a range of standard sizes and form factors and chipsets and whatever, so that they really can play around whether they need a lot of memory or just a little bit or whether they want to be put something on metal or whether they want to put something on glass, boot or wherever. So they really can play around with that. And the last item, which is going to be getting us to success there is, we will be including our entire marketing power in order to basically utilize social media and social networks, in order to basically get access to the right community. So, like the maker fairs and the maker community. So we have some very, very good inroads there and that's how we really tried to basically get this out there into the marketing, trying also a range of unconventional ways in order to basically get this accomplished.
Craig Ellis: That's helpful. Steve, maybe going back to the points that you made about some of the volume dynamics on the smartphone customer wins that you're getting. When I think about the smartphone industry, the way it often works is, one entity will adopt technology. And that often has a cascading effect through the ecosystem, whether it's a leading Android player that adopts and then cascades through the Android community or with another player, and then it does something similar. As you look at the wins you are getting, do you see that potential downstream of where these current ramps are? And if so, any signs of interest from some of those other customers that are part of the ecosystem?
Steve Humphreys: Yes, that dynamic is always going on, and it's going on in this case too, because they're always fighting for parity and one-upmanship on anything to differentiate, because it's so hard these days. So, we're certainly getting cross platform interest. One of the mobility players who happens to be customers is really setting the pace in a lot of areas. And for the first time I've seen in the mobile device industry, the others are trying to figure out how to keep up and match that positioning. So, there's a lot of good conversations going on. And as you say, I think there's going to be some of that back cross pollenization and virality happening with it. That said, the design cycle for mobile device is eight months, and then it's another few months to get into the supply chain. So, it takes some time, but they're definitely -- no one wants to fall behind and they're all working very hard to keep up.
Craig Ellis: Got it. And then lastly, Sandra, a question for you. In the current environment, one of the things that we're hearing about is expedites and in some of the other things that are unique to this environment. And it is for some of the companies that we're covering having an impact on gross margins, not a significant impact, but an impact, nonetheless. So, as we think about dynamics in the back-half of the year, whether it be some of the component issues that might exist and premises or some of the shipment or other issues that might exist in Identity. Can you give us any sense for whether or not that type of thing might be an issue, as you're looking at the way the backlog is filling in and some of the dynamics around fulfillment and COGS, plusses and minuses?
Sandra Wallach: Got it. Great question. We've actually been working really hard throughout this entire year to get ahead of that. And so, right now, we're not seeing anything significant that's impacting us. But there's a lot of planning going on in the background to work the relationships that we have. With the chip vendors, we've got very strong relationships with them, where we can help influence, putting in longer frame orders for purchase orders to lock up supply and getting our planning window expanded into 2022, so that we can give all of our suppliers much more confidence to act on our behalf. And as Steve mentioned, having the additional working capital helps, because we're not as limited by contracts in hand. We can buy slightly ahead in order to be able to make sure that we're ready to pivot when the orders come in. So, we're watching it. But it hasn't impacted us to this point.
Craig Ellis: Got it. Thank you. I'll hop back in the queue. Thanks, everybody.
Steve Humphreys: Thanks, Craig. John, you there?
Operator: And your next question is coming from Jeff Kessler from Imperial Capital. Jeff, you are live.
Jeff Kessler: Thank you for taking my call. Looking at channel that the channels that you serve. We, from my last hurrah did a survey of some of the largest electronic integrators, both here and in Europe and in Asia, and what their current plans are. It appears that despite the pandemic, let's call it backlogs and particularly pipeline for larger electronic, particularly in access. And access can be anything from oyster type cards in England over to visitor management type cards over here. This appears to be growing dramatically, relative to where we've been last year, or in fact, pre-pandemic levels. The demand is way above pre-pandemic levels. So my question to you is, given what appears to be a very large, let's just say, I want to do stuff level of interest on the part of these large integrators, some of whom obviously work with you. Do you think there is ability to both, number one, take advantage of this in the second-half of this year, when it seems that some of these projects will be awarded and revenues flow? And is there the capability to cross sell your premises as some of your premises technology as well?
Steve Humphreys: Sure. Yeah, I think you put your finger on a trend there that we're seeing as well is, there's a resurgence with some of the pent-up opportunities, and in particular getting people access. And everybody's facilities are changing, who needs access and under what circumstances and where. And it's become a lot more dynamic. So, we're seeing a lot of interest in more flexible systems, in the cloud-based systems, and in more flexible credentials. And then of course, the cross selling has always been a core to our strategy. So, I think we're going to see more of that across the board, both commercially and from Federal government perspective.
Jeff Kessler: Okay. Also, looking at looking at some of the areas, specifically, there's been -- clearly, we've seen some very large deals. These are obviously, valuations based on what investors or what private equity or what spec investors expect to see happen in two or three years. But we've seen some incredible valuations on companies that are involved in letting people into multifamily and commercial buildings, and identifying them going forward. To do that, it's going to obviously require products that can identify. And clearly, post-pandemic they're going to need to do more than just identify. They're going to have to make sure that not only as a person, they are who they say they are, but that they're well. Again, the question comes back to, are you seeing that in some of the discussions that you're having with customers?
Steve Humphreys: Can you clarify, seeing what specifically are you asking about, Jeff?
Jeff Kessler: Well, as you know, there are several very high valuations out there on companies involved in access right now that are -- we're talking on multiples that are 70, 80 times revenue. And what I'm getting to is, if the marketplace, obviously sees at this point in time, that there's the potential for -- similar to my first question. There's the potential for a large number of uses to get into buildings, but the fact remains is that it won't just be access anymore. It's going to be how well is that person who they say they are. You may need -- this refers to both hotels, commercial buildings. I'm just thinking of all the use cases, RFID and particularly NFC can go into at this point. Again, it seems to be very highly valued by people in the marketplace who are smarter than I am. And what I'm getting to is, is effectively are you talking to, again, integrators or end users who are interested in multi-factor Identity that they can use, that they haven't used before? There are very large companies, obviously over in Sweden and places like that, and I'm working on this for years, and they haven't been able to really crack through it yet.
Steve Humphreys: No, you're exactly right. And it's taking off with a lot of companies that, as you say, are all around instrumenting individuals and using RFID technologies to take that profile of the individual and make it useful in the space. And that's exactly what our strategy has been for a long time, and it's really a matter of the industry becoming a little bit to where we've been building and dev analyzing for a while. And yeah, you see companies like [Indiscernible] and Proxy and Verkada with some pretty high valuations. It's because the value of that infrastructure and that identity in a frictionless way is pretty high. And I think you're even going to see over the next couple of years, companies like Apple with their UWB platforms that they're deploying, which is much better than Bluetooth from mobile perspective to do things like access control. Really, UWB and NFC is the right way to do virtual presence and identity management. So that's exactly the direction that we think is going. And I think it's just starting to get adoption. The incumbents have different business models. And so they're pretty slow to go that way, as you were talking about, [Indiscernible] any of the others. Yep.
Jeff Kessler: Okay. Great. Thank you.
Operator: [Operator Instructions] Your next question is coming from Jay Chung [ph]. Jay, you are live.
Unidentified Analyst: Great. Hi, thank you for giving me the chance to ask a few questions. First, again, thank you for the update on the RFID capacity. What gave you the confidence to grow your capacity nearly 70% from 130 million units last year to 220 million this year?
Steve Humphreys: Well, as you heard right in the very first quarter, unit wise we were up 53% year-over-year. So, 70%, as you pointed out, that's the capacity increase who put it overall, that's not even a lot of buffer for what we're seeing as our baseline demand. So, I think we also referred to it as initial capacity expansion. So, we're certainly confident that we'll be utilizing close to that total. And we're certainly prepared to add to that capacity as we go forward.
Unidentified Analyst: Great. And actually, that's my next question, which was, do you foresee adding any capacity in the second-half, maybe as a try to get ahead of growth for next year?
Steve Humphreys: There's a good possibility of that, yeah. We've gotten very good at adding capacity in a pretty scalable way. We've got the states, which is always the long pole. And so adding the equipment and the technology is pretty straightforward. But I certainly wouldn't be surprised if we drop that in. But just as a reminder too, we're not very capital intensive. So, we can add 50 million units of capacity for €0.5 million, and even that we can finance. So, it's not a big capital hit. But of course, for the capital we raised, we're not hesitant at all to add that as long as we can be sure we're going to utilize it. So we're not going to put pressure on our cost of goods or operations overhead. But we're positioned to add capacity as we need it. And, simply on a growth basis, that'll probably be needed later in the year. And then there could be something like one of these major programs that comes in that drives a step function and capacity requirement. And again, we're doing all the pre-planning that we need, so we should be able to do it as needed by any demand.
Unidentified Analyst: Great. And then, in Q1, the RFID ASPs it looks like it grew since revenues grew faster than units. Do you think AFPs for the rest of the year will be higher in 2021 than in 2020?
Steve Humphreys: Yes, I do. And that's exactly I think what you're seeing in the first quarter that. So, I think that trend will continue. It can fluctuate quarter-to-quarter. Some of these products that have substantially higher gross margins can drive it, but the trend that we're seeing with the complexity in the devices is for increasing average unit prices.
Unidentified Analyst: And talking about the highest ASPs, the highest range that is about $1.50 that’s pretty amazing. The 100 million units that you mentioned, is this an annual number or is it like over a contract period?
Steve Humphreys: Once it's at scale for that product, and I always want to be careful not to disclose anybody's proprietary information, but we've done nothing to indicate any vendor here. But that's actually the low end of the annual range that they've indicated, that they expect.
Unidentified Analyst: And then you mentioned that you're waiting for FDA approval. Has this been submitted already? Or is it something where they just have to get their stuff in order.
Steve Humphreys: That, I'd rather not go into because that gets pretty close to -- if you look at volumes and you look at the use case, and then you can look at approval, FDA submissions, which are public, you could back into it. And I want to be very -- you don't want to jeopardize any of our customers for any of that.
Unidentified Analyst: I totally understand. That's very fair. The other parts of the ID business, you mentioned that both leaders and asset clubs grew. So, I think last November, you gave guidance for the leaders to be about 20% to 25% up this year. Have they been changed in that regard?
Steve Humphreys: I'd say they're solidly confident in that rain, probably some upside on it. Yes.
Unidentified Analyst: Okay. And then just on the positive side, with the economy opening and I think the prior questions about it seems like there's a lot of backlog coming in here. Where do you see the nonscheduled business growing year-over-year?
Steve Humphreys: It's harder to predict, because of how the commercial world will open or not open, and will they invest or not invest. We're seeing categories that are really catching back up. Some in the travel area, rental cars, for example, seem to be feeling like they're getting very confident about their business outlook. Others are still figuring it out. So, it's a huge range. I think for commercial, expecting it's still in the kind of 10%-ish range, whereas Federal, State and local, I think will be growing a lot faster, is probably safe. But could we easily be surprised that commercial is double that growth rate, yes easily can happen with just a couple of factors.
Unidentified Analyst: Okay. And if I can make just one observation, so not a question, just an observation. What I'm hearing is $100 million is the low end of your guidance. And that's about 15% growth. But it seems like on the RFID side, you expect pretty strong unit growth, as well as ASP growth. And then on the positive side, you expect pretty strong Federal growth, which is a good chunk of your business. And then of course, commercial may come back, we'll see. So, it seems -- at least I’m not -- but comment for them is saying that, it seems like 15% growth is a very easy target. That's all I have to say.
Steve Humphreys: Yes, I agree. Again, as you say, that's the bottom of the range, and that's what we said, we have great confidence in. And we did that a month or two ago, when we moved it up. So, completely agreed. The question is, when we have -- we don't want to say, oh, hey, the top of the range is now $106 million, when in fact, we're thinking it could be $112 million, and it'd be better to give good clarity when we have some clarity of what that -- and please those are not guidance numbers. But we're saying, we want to set a top of the range when we have a good view of what the top of the range is. But we've said is, you're absolutely right. The bottom of the range is very safe.
Unidentified Analyst: Great. Thank you so much.
Steve Humphreys: Thank you.
Operator: At this time, this concludes the company's question-and-answer session. If your question was not taken, you may contact Identiv's Investor Relations team at inve@gatewayir.com. I'd now like to turn the call back over to Mr. Humphreys, for his closing remarks.
Steve Humphreys: Alright. Thanks, John. And thank you all for joining us this evening. We really appreciate the support and the engagement. This is obviously very fast-moving industry with new milestones every week. So, we'll keep the communication coming, whether it's through press or other forms of communication out. We've got some fireside chats set up. We're going to be at a number of Investor events going forward. And as those gets solidified and posted, we'll put them up on the website. But we'll certainly be doing everything we can to keep transparency and metrics visible, so you can track the progress of both us and of course, the industry. So thank you again, and have a good evening.
Operator: Thank you for joining us today. You may now disconnect. Transcript Provided by